Executives: Casey Hoyt - Chief Executive Officer Todd Zehnder - Chief Strategy Officer Greg Crawford - Chief Operating Officer Al Wallander - Chief Financial Officer
Operator: Ladies and gentlemen, welcome to the PHM Quarterly Conference Call. Today’s conference is being recorded. At this time, I’d like to turn the conference over to Mr. Casey Hoyt. Please go ahead sir.
Casey Hoyt: Thank you for joining us on the call. My name is Casey Hoyt, and I’m the Chief Executive Officer of Patient Home Monitoring. Joining me on the call today will be Todd Zehnder, Chief Strategy Officer. Also participating with us to represent the future of Apparo division are Greg Crawford, Chief Operating Officer; and Al Wallander, Chief Financial Officer. Thanks for being with us today as we report yet another positive quarter of financial results in both divisions and as a consolidated group. This quarter is the third full quarter of results that are shown since we effectively started operating in two separate divisions; now coincidently, those are the three most profitable and three of the most successful quarters in the history of PHM. I am very excited about this trend, and I’m also confident that once we finish the corporate split and have our individual strategies and companies, the results will continue to be positive and likely will be stronger than those that we have shown recently. Being able to execute the strategies individually will be the last piece in our separate growth plans. I’d like to once again thank our entire team at both Viemed and Apparo for their continued dedication to our patients as well as our stakeholders -- if we, at Apparo -- and for Apparo, their continued dedication to our patients as well as stakeholders. If we remain committed to the patients first and the profit second, we will continue to have a culture that is destined to be successful in both areas. There is still so much work and improvement to achieve, but we are very proud of the accomplishments at both divisions. For those who are new to our story, Patient Home Monitoring is a company that operates in two divisions, Viemed and Apparo, both with different growth strategies and operating teams. As we have previously discussed, we are currently in the middle of a corporate split where the divisions will be legally split into two separate companies ; myself and Todd will primarily focus our comments on the Viemed division today, while Greg and Al will talk about the Apparo division. Al will also provide a review of our consolidated PHM financials. As a reminder, at Viemed, we focus on treating respiratory diseases in the home to give our patients the best quality of life, all while reducing their overall healthcare costs. We accomplished this task with a 24 state-wide network of superior respiratory therapists. Just like last quarter, we have seen an increase in the active patient count since our last call. Our estimate of patient growth is approximately 10% during the most recent quarter, which puts our first half of calendar year 2017 active patient growth at an impressive 21%. We are once again forecasting further growth for the next quarter and see that trend continuing for the quarters to come. We have seen some solid results in some of our new areas, and have continued to train additional sales people to grow our business more rapidly. We continue to look for creative ways to grow our business through more unconventional methods such as partnering with payers and our certain types of facilities in order to augment our traditional referral sources and increase the rate of penetration in our markets. We continue to evaluate complementary product lines that can enhance the patient’s experience and are incremental to our existing business. We have continued with the initiatives to enhance our technology in order to drive efficiencies in the ever changing healthcare world. Our world class sales force, coupled with the efficiently running back office, have us excited about the things to come in the future. We are staying mindful of our G&A and bottom-line as we know the revenue and margin growth are not the only important things. With that, I’d like to turn the call over to Greg to talk about what he has been working on at Apparo. Greg?
Greg Crawford: Thank you, Casey. To recap, Apparo is comprised of all the businesses that PHM acquired with the exception of Viemed, representing about two-thirds of PHM’s revenues today. Shortly after my company was acquired by PHM, I was asked to integrate all of these disparate businesses. At the time, these combined businesses were generating losses; they were disorganized and running essentially as separate businesses. In the last year, I have taken all of these business units again with the exception of Viemed from Maine to Oregon, to California, to Georgia and integrated them into a singular company. We have seen that chief risk in acquiring companies in this market is proper integration, and that has been my soul focus since joining PHM. This effort has resulted in significant increases in profitability and cash flow for several consecutive quarters now. I have rationalized our workflow and streamlined our business processes. I have worked hard to create a great integration platform for further acquisitions in the coming quarters, and I am looking forward to executing on our growth plan post spin-off. During this past quarter, we have continued to improve our business units by completing the final steps of our integration plan; recently, implementing our respiratory program in our business units located in the Northeast. We’re in the planning stages of building out two additional retail locations within our current markets. I do think many of our markets are well served with retail locations as our build cost is marginal and the revenues can be significant. And finally, we have created a sales force plan to increase sales at the local level by hiring local sales reps to partner with hospitals and clinics, as well as cultivating other referral sources. The outcome of these plans is already visible in these improved financials, but the real benefit from completing our integration plan will be seen in further acquisitions. To that end, we have been eying several potential deals post spin-off to leverage our position as a world class integration platform. I am looking at adding significant revenue quickly through smart and strategic acquisitions. I believe we can do this by acquiring companies at a low multiple and then integrate them quickly and cheaply. This market is fragmented and inefficient, and we can take great advantage of that reality, now that we are stable and operating as one large company. With that said, I’d like to turn it over to Al to provide a financial overview.
Al Wallander: Thanks Casey. In reviewing the financial results, all figures are in Canadian dollars and the full results are available on CEDAR. I’ll start with some quarterly numbers for consolidated PHM. We generated revenue of $34 million as compared to third quarter 2016 revenues of $32 million. Additionally, our gross margin percentages increased to 79% as compared to 72% during last year's third quarter. This continues the trend of high margins as a result of closing unprofitable product lines and businesses, all in the effort to support the bottom line. Along those lines, our absolute gross margin was approximately $3.2 million higher than the third quarter of 2016, which shows that we have grown in the right areas and managed our cost of goods sold appropriately. Adjusted EBITDA, which excludes depreciation, amortization, stock-based compensation, and changes in financial derivatives, totaled $5.9 million for the quarter. We once again grew our cash balance 14% organically this quarter, which now marks the third straight quarter of organic cash growth. Our EBITDA was a little lower than we forecasted, primarily to employee compensation costs that were higher than budgeted. During the turnaround phase, several members of our management and the board took compensation cuts. And now that the solvency has been restored, these salaries were reinstated. We have continued the reversal of the trend of depleting the cash and feel that we are on our way to continued financial success in both divisions. Our balance sheet remains strong with approximately $13.5 million in cash at quarter end; approximately $23 million clean AR; $46 million of current assets; and $28 million in short-term liabilities. We have managed our recent growth through utilizing capital leases where available. Our long-term debt, which is primarily made up of these leases, is very manageable and is being serviced with operating cash flow. As of now, our total debt picture is made up of these capital leases and the public debentures due at the end of 2019. Our job of turning the financial picture of the Company continues to be work on every day. And with each quarter that passes, we remain confident that we are on our way to continued success. Moving onto the fourth quarter. We have provided revenue guidance in the $33 million to $34 million range, and feel that our adjusted EBITDA will be roughly 20%. This will continue the trend of improving financial results on a quarterly basis. This guidance does contemplate the stronger Canadian dollar during the current quarter, but the recent volatility is hard to estimate. In general, we are happy with the U.S. dollar revenue growth that is expected again this quarter. Next, I would like to provide some financial highlights for Apparo. Our Q3 2017 EBITDA margins increased by 0.8% over the second quarter; as a result, we have now shown positive and increasing EBITDA for three consecutive quarters. Going forward, we will improve our EBITDA margins through top-line revenue growth, continued emphasis on improving our collection rate, and a persistent focus on cost containment. Our balance sheet also continues to be strong. Our receivables are clean and valued conservatively. Our efficiencies of billing and cash collections continue to improve and our collection rates are at all time highs. From a capital perspective, we continue to finance major equipment purchases with leases through our major vendors. We believe that we’ll be able to fund our future growth using the similar financial instruments. We are also aggressively pursuing other lending and other financing relationships to provide growth-based capitals post spin-off. We are also targeting those relationships necessary to fund these future acquisitions. As such, we remain highly optimistic regarding our ability to continue to grow and excel post split. At this time, I would like to turn the call over to Todd to say a few things about Viemed.
Todd Zehnder: All right. Thanks, Al. Moving specifically into Viemed, we continue to march down the path of organic growth, as Casey mentioned earlier, as well as multiple process improvements as we ready ourselves for the upcoming corporate split. We have been working on various items to be able to hit the ground running as a new public entity and are confident that the transition will occur smoothly. From a capital perspective, we have once again managed our growth through cash purchases and finance leases with our major vendors. We remain confident that we’ll be able to fund the growth in the future in a similar fashion, and we are also pursuing other banking relationships as we prepare to be a standalone entity. Our efficiencies of billing and cash collections continue to be strengthened every day, and we are confident that this collection effort will continue to improve and pay dividends to our liquidity. With our continued growth, we expect our G&A will rise some in the coming quarters, but we expect to work hard to improve our overall margins. We remain excited about the coming months and the years as we prepare to tell our story of our Viemed division, and plan to do so as soon as possible after our upcoming corporate split. At this time, I’ll turn the call back over to Casey to wrap things up.
Casey Hoyt: Okay, thanks, Todd. I once again want to thank all of our shareholders for being patient during this long awaited corporate split. The good news is that our two divisions have effectively been split for almost a year, and our past three quarters of success can be directly attributed to the differentiation in our structure. The U.S. healthcare industry has an ongoing transition to value-based providers, delivering high quality of care to post-acute patients. There are no doubts embracing solutions that can be provided in less expensive venues such as the home of the patient. Looking forward, we expect the favorable market conditions and growth to play into both Viemed and Apparo’s hand. In closing, I would like to once again thank the management teams, customer service reps, and all of our healthcare professional employees for their excellent work increasing the quality of life for our patients. We recognize that this recent pattern of growth has a direct correlation between the quality of care and the quality of our team. We thank you for your commitment and passion in our business and our shareholders. This concludes our prepared remarks, and we’ll now open it up for further questions.
Operator: Thank you [Operator Instructions].
Casey Hoyt: We’ve received a couple of questions during the day. So we’ll go ahead and take those, while you are accumulating any open questions. The first one, I’ll go ahead and handle it. We’ve received number of questions of where we stand in the corporate split process and what the latest is and what’s holding things up. And similar to last quarter, we are still waiting for final regulatory approval. And from all indications, we appear that we are getting close with the last governmental agency that we need to get an affirmative vote from. At that point, we are ready to finish the process through a couple of proceedings. And then immediately, we’ll be ready to call for the shareholder date -- our shareholder vote. That will have a 45-day window from where we call it to the actual meeting. So with all things going well, we should be able to call for that here in the next few weeks, and there will be a 45-day clock from that point forward.
Todd Zehnder: Okay. And I’ll take the other one. So we’ve been getting a lot of questions about, will you be making any acquisitions in the near-term? And the answer is, we’ve been looking at Viemed, had a few opportunities over here acquisition wise. And as Greg said in his remarks, they have been evaluating acquisitions as well. However, neither division is going to be making any acquisition, so the split is done. And we -- each have our own growth strategies and our own capital strategies in place.
Casey Hoyt: So those are all the questions we wanted to answer, if there is anybody else?
Operator: [Operator Instructions] And ladies and gentlemen, this does conclude today’s call. Thank you for your participation. And if you have any additional questions, please contact investorinfo@myphm.com. We do thank you for your time and you may now disconnect your lines.